Operator: Welcome to the Argo Group 2012 Fourth Quarter Earnings Call. My name is Tricia, and I will be your operator for today’s call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to George Luecke. Please go ahead.
George Luecke: Thank you, Tricia and good day everyone. Welcome to Argo Group’s earnings call for the fourth quarter of 2012. Joining me today is Mark Watson, our Chief Executive Officer; and Jay Bullock, our Chief Financial Officer. On today’s call, Mark and Jay will review the Company’s financial results for the quarter and afterwards we will open up the call to your questions. Let me remind everyone that this conference call is being recorded, and that Argo Group management may make comments that reflect their intentions, beliefs and expectations for the future. Such forward-looking statements are qualified by the inherent risks and uncertainties surrounding future expectations and may materially differ from actual future results involving any one or more of such statements. Argo Group undertakes no obligation to publicly update forward-looking statements as a result of events or developments subsequent to this conference call. For a more detailed discussion of such risks and uncertainties, please see Argo Group’s filings with the SEC. With that it’s my pleasure to turn the call over to Mark Watson.
Mark E. Watson: Thank you, George, and good morning to everyone and thank you for joining us today. I’d like to take a few moments to share my thoughts and what I see as the highlights of the quarter and the year, as well as the outlook going forward. And then Jay Bullock, our Chief Financial Officer will provide additional detail about this quarter’s financial results. We look forward to responding to any questions you may have during our Q&A period after that. This was a very active quarter on many fronts, we fared relatively well through Hurricane Sandy. Pricing continued to improve. We recruited good senior talent into our team, and we continue to execute on certain transactions and initiatives to drive us toward further profitability. I’ll talk about each of these in just a minute. All in all, we entered the year with strong results and despite headwinds from external environments and the underperformance in parts of our business, I’m encouraged by our 2012 performance, and I am optimistic about the future. I’d say that 2012 was a continuation and hopefully getting towards the end of the turnaround of our franchise as three out of the four operating segments generated growth and underwriting profitability for the full year. That’s a great achievement given Sandy, low interest rates, the weak although somewhat improving economy, a competitive marketplace and a still over-capitalized industry. I give tremendous credit to our management and underwriting teams for their ongoing efforts to improve our results by keeping their eyes trained on underwriting profits and pricing discipline. To me 2012, confirms that many of the internal efforts you’ve heard me talk about over the past couple of years, such as re-underwriting some of our portfolios improving risk selection in general and pursuing operational efficiency across our businesses are beginning to move us in the right direction. Having said that, we still have a bit of work to do in parts of our Commercial Specialty businesses, as I’ve discussed on past calls, I believe that we’re appropriately addressing those challenges, but I’ll talk more about that in a minute. Turning briefly with some high level metrics, we produced consolidated gross written premium of $390 million for the quarter and $1.7 billion for the full year, an increase of about 14% quarter-over-quarter and 13% year-over-year respectively. Notably this marks the sixth consecutive quarter that we’ve achieved top-line growth. Growth was mainly driven by the mid single-digit average rate increases, we achieved across our businesses with rates in some areas increasing into the double-digits. I still think more rate is needed particularly when you think about where yields are today and although I’m not cautiously optimistic achieving it will depend largely upon pricing discipline of the industry overall. In that regard, we continue to see what I would call a modestly improving market does with continued evidence of occasional irrational behavior.  We remain committed to ROE improvement with the market environment I’ve already touched on primarily low investment returns. We know it's imperative that we do so by improving our underwriting margins, which is why I was trying to highlight that a minute ago. We believe we have the right management, business platforms and strategies in place to do so. And we will continue to diligently pursue great adequacy and through growth and internal initiatives, we think we’ll start to see our expense ratio come into line in the future. Sandy impacted our results by $48 million on a pre-tax basis, which was within our range of $45 million to $55 million that we announced back in December. I’m pleased with the way our company is handling Hurricane Sandy, our claims teams responded rapidly to policyholder needs. In fact, Argo International was cited by Willis as the top-performing insurer in the U.K. and handling claims for Sandy. And our focus in all of our business units remains on delivering the service needed to help our customers deal with this storm’s aftermath. Most of our Sandy losses came from our International Specialty and Syndicate 1200 segments powered by Commercial Specialty. Remarkably our E&S segment, which is highly concentrated in the Northeast were the least impact from the storm. To me this is yet another reminder of the re-underwriting and other efforts our team has implemented over the past couple of years, which have resulted in a substantial decrease in property exposures of the segment. I emphasize this point because it's further evidence that our risk selection improvements are starting to make a difference. While Jay will spend more time going through the financial details, I just wanted to hit a few highlights. For the fourth quarter, we generated a combine ratio of $109.6 million, which produced a net loss of $4.7 million or $0.19 per share. I’d like to point out that excluding Sandy and other prior year loss development, our combined ratio for the quarter was $96.5 million. And after the full year that we generated a $104.6 million combined ratio producing net income of $52.3 million or $2.01 per share. If you excluded the catastrophes in the prior year development, our combined ratio for the full year was $100.7 million. In addition to modest growth, we continue to make strides in our two major operational initiatives. Reorganizing back office functions and migrating systems to a single end-to-end platform. As we’ve mentioned in the past, these projects are medium to long-term in nature and require investment, the benefits of which we expect to be realized over time and operating efficiencies in the more agile organization. On the transactional front, we continue to be active. As in every quarter, we are constantly evaluating the full range of ways to manage risk, while growing our businesses, always with the eye towards generating appropriate risk-adjusted returns. In the fourth quarter, we completed the refinancing of our capital structure by repurchasing the more expensive tranches of our capital trust securities with the proceeds of the senior retail notes issuance that we completed in the third quarter. This should result in long-term interest expense savings and ongoing accretion to earnings per share. We also completed a whole account quota share reinsurance transactions at our Lloyd‘s business Syndicate 1200 for the years 2009 and prior. The transaction freed up capital, which can, or I should say will free up capital, which can be deployed to better return opportunities and it did produce some modest financial benefit in the quarter. In addition it also removes from our books, any exposure to business written by prior ownership and management and enables current management to devote its full time and attention to the future. We also executed on our first sidecar vehicle Harambee Re, during the fourth quarter and we are able to close the transaction in the New Year. I am encouraged by this first step into alternative capital management, we anticipate becoming more active in this space over time as we look for additional reinsurance capacity for some of our cat exposed business. I am also very pleased to report that we’ve added some executive talent to our team. We brought in a new Chief Accounting Officer and a new Chief Investment Officer. We continue to return capital to our shareholders taking advantage of the undervaluation in our stock by repurchasing $7 million worth of shares in the quarter and an average price of $33.18. We also paid our 12 consecutive dividend in this past December. Our 2012 operating results, investment appreciation and capital actions enabled us to complete the quarter with a book value per share of $60.75 an increase of 9.3% from the year-ago level. Now let me just provide a couple of more highlights for each of our business segments before I turn the call over to Jay. Our Excess and Surplus Lines segment continue to report strong results all around. This quarter substantially marks the fourth quarter of consecutive growth for this segment. Submission activity continues to be up and renewal rates were strong. Positive reserve development continued to add meaningfully to the segments results. Our combined ratio was 92.6% in the quarter and we reported pre-tax operating income of $17.8 million. We’re really seeing the financial benefits of all the hard work, tough decisions and business discipline we focused on over the last three years. As I’ve said before we truly believe that we are one of the best E&S platforms in the business, our goal is to replicate the success of this segment in other parts of the business and I think we’re on our path to doing so. Having said that turning to Commercial Specialties, I mentioned earlier, I’m a little disappointed with our performance in that segment for the year. The impact of Hurricane Sandy, a few isolated claims and some adverse development resulted in a combined ratio of 122.9% in the fourth quarter excluding catastrophes and reserve development the fourth quarter combined ratio is 106.5%. For the full year of 2012, the segment reported the combined ratio of 115.1% excluding catastrophes in reserve development the 2012 combined ratio was 102.8%. I believe that I mentioned earlier this year that we are working to identify problematic pockets of business within Argo Insurance and Trident. During 2012, we drew on resources from across the organization to re-underwrite I think to begin re-underwriting some of the profitable businesses within these divisions. We've begun, we’ve now implemented that plan and re-underwrite, we re-underwrote a fair amount of that business during the year. It’s hard to see in the topline, which was down slightly about 2% from $93.7 million to $91.8 million, but if you then take into consideration some of the double-digit rate increases that I mentioned earlier. While most of those from this portfolio, so that’s why you haven’t seen the premium volume drop more than it did. For 2013, I would actually except to see the premium volume drop more than it did in 2012 notwithstanding I think we’ll also get rate increase as we continue to reduce our exposure to some of the less profitable business. Having said that, when you look at growth in other areas of the Group, which I’ll continue talking about, I believe we will still have growth year-over-year for the Group as a whole given the environment that we’re in now. The good news is that I remain confident there is a strong franchise value within Argo Insurance and Trident, as well as a very substantial core book of profitable business within each. And as you recall, Argo Insurance is our retail business focused on food merchants, restaurants, dry cleaners, and other retail establishments. And Trident is our public entity business focused on small towns, counties, and schools. These are highly specialized niche areas of expertise that I still think differentiate us in the marketplace particular when we stick to our core business. I should also add that Rockwood, our mining insurance unit is also a part of Commercial Specialty and continues to post strong underwriting results and reported I believe a record year for 2012. Turning to International Specialty, this segment achieved strong topline growth in the quarter with gross written premiums increasing a 135%, due largely to the contribution of new business underwritten in Brazil. For the full year gross written premium increased 30%. Hurricane Sandy impacted our reinsurance segment, the reinsurance part of the International Specialty Argo Re, contributing to the combined ratio of $131.3 for the quarter for this segment. Despite Sandy, the segment still posted an underwriting profit for the full year with the combined ratio of $97.1, excluding catastrophes and the reserve development the combined ratio would have been $81.3 and $84.8 for the quarter and year respectively. At the January 1 renewals property cat rates on the whole were up slightly, I would say low single digits for most of our business. Obviously, loss affected accounts saw increases more so than others but the extent of the increase is depending on the scale of the loss. International accounts excluding the U.S. remains roughly flat. The absence of Hurricane Sandy would have resulted in greater pressure in my opinion on U.S. cat rates, but as a result of the event, we believe the U.S. market remain well priced compared to other risk return opportunities. Rates in our excess casualty business, which is also part of this segments are moderating and exposures and rates are aligning as the economy shows signs of recovery. Professional liability rates have been flat to down low single-digits primarily from a lack of claims activity. Our last segment, Syndicate 1200 or our Lloyd's Managing Agency has shown continued profitability and growth in recent quarters after reshaping efforts over the last couple of years. I’m pleased that the trend continued into the fourth quarter as we grow our topline and generated underwriting gains despite Sandy. Gross written premiums grew at 5.9% for the quarter and 21.6% for the year. The combined ratio came in at 93.9% for the quarter including Sandy and 96.2% for the year, excluding catastrophes and development Syndicate 1200’s combined ratio was 80.2% for the quarter and 90.2%, excuse me 92.7% for the year. As I mentioned earlier, we entered into a capital and return enhancing transaction effectively removing all liabilities of Syndicate 1200 for 2009 and prior years. In summary, I believe the steps we’ve taken position us well for the long-term and profitable growth. Among many other positive actions, we will continue to drive more margin through our businesses, attract talented management and enhance our investment activities. I’m encouraged by what appears to be continued discipline in the marketplace; most importantly it’s been a long journey over the past few years and while I’m pleased with what we’ve accomplished so far, as I mentioned earlier we still have a little more work to do. I’m very proud of the International company, we built over the last decade and the team we’ve assembled to lead it into the future now look forward talking it a little bit more after Jay has given his thought. Thank you.
Jay S. Bullock: Thanks Mark and good morning everyone. After reviewing Mark’s commentary the results for 2012 were far from what we believe we can and we’ll achieve, represent the collective hard work of our teams across the platform… This is the time and effort invested over the past 24 months to find smart growth opportunities for the business and take corrective action where needed is paying dividends. And with the energy that comes with same positive results develop, we will continue to progress towards achieving the goals and strategies Mark outlined. Now let me take a few moments to walk you through our financial results and then we’ll open up call for your questions. As outlined in our press release, we reported a net after-tax operating loss per share of $0.24, as compared to a loss of $0.35 per share than last year’s fourth quarter. This result was despite the incurrence of $48 million in losses from Hurricane Sandy against the losses from catastrophe events in the fourth quarter of 2011 of $36 million largely related to the floods in Thailand. So at quarter end – so in a quarter with larger cat loss in a quarter with larger cat losses the platform delivered a better result. Perhaps more importantly for the year net after-tax operating earnings per share were $1.46 against a loss of $3.36 in 2011. As Mark discussed, gross and net written premiums as well as earned premiums were all up double-digits in the quarter and for the year. In the quarter, gross and net written premiums were up 14% and 10% as compared with the same period a year ago. And full year gross and net were up 13% and 14.2% respectively with each of our business segments contributing to that growth. Earned premiums in the last three months of the year up 12%, over the last three months of 2011. Hurricane Sandy was the most significant single event in the quarter generating $47.9 million of pre-tax losses net of reinsurance and reinstatement premiums. By segment, pre-tax losses from Sandy were $18.3 million in International Specialty, $18.2 million in Syndicate 1200, $8.8 million in Commercial Specialty and $2.6 million in E&S. Overall prior year development was favorable on the quarter reporting $9.6 million of favorable development versus $5 million for the same period a year ago. By segment, the development was as follows, Excess and Surplus Lines $9 million favorable mainly from our program based contract business. Syndicate 1200, $5.3 million favorable primarily from the property portfolio. International Specialty $2.7 million favorable mainly from attritional losses, lower attritional losses and improvement on prior year catastrophe losses. Commercial Specialty, $3.6 million adverse, primarily from Argo Insurance and Trident, partially offset by favorable development of Rockwood, and finally in run-off, adverse development of $3.8 million related to our domestic assumed asbestos exposure due in part to reserves for increased legal spend and the impact of commutations and other settlements. In addition, to the movement in prior year loss reserves, in the current accident year of fourth quarter, we experienced three larger than expected property losses in Commercial Specialty and those results are reflected in our numbers. Addition reported crop losses in the International Specialty and this was partially offset by better than expected experience in the attritional loss experience in Syndicate 1200. The expense ratio was 38.4% for the quarter, compared to 40.3% a year ago, a period-over-period improvement of 1.9%, and the expense ratio improvement was driven primarily by additional scale in the business, but as Mark said, we continue to invest in the initiatives designed to create a more flexible, efficient and nimble cost structure. Turning to investments, the overall size of the investment portfolio including cash declined $191 million in the quarter, but that was primarily due to the redemption of certain of our capital trust securities in October and November. As you will recall, in the third quarter of 2012, we issued a $144 million of 30-year (inaudible), 6.5% senior notes. In the fourth quarter, specifically in November, we use the bulk of the proceeds from our notes offering to redeem our $103 million of 8.85% capital trust securities and a [102%] of par value and 15.5% of our 9.75% capital trust securities at a 100.9% of par, clearly, this was a financially attractive use of proceeds for us resulting in lasting cash savings and EPS accretion. Given the timing differences between our debt issuance in the third quarter and redemption of the capital trust securities in the fourth quarter, our debt and investment portfolio balances were temporarily higher on September 30, pending the intended repurchases. As a result and in combination with continued lower investment yields, our net investment income this quarter was down $1 million versus the same period last year and 400,000 as compared to the third quarter of 2012. The book yield on the fixed income portfolio declined to 3.4% this quarter from 3.5% in the prior quarter, we recognized pre-tax realized gains of $7 million which included primarily gains from our core fixed income portfolio partially offset by foreign exchange movements on certain short-term investments. The fixed income portfolio represents approximately 82% of our invested assets has an average rating of AA minus, and an effective duration of 3.3 years. At the end of the quarter pre-tax unrealized gains in the portfolio were $305 million. Elsewhere on the balance sheet and related to the prior year reserve transaction on Syndicate 1200, there is an increase to both receivables and payables of approximately $200 million, which reflects the accounting for that transaction. The payable reflects the funds withheld balance in the contract. Most importantly, the earnings on those assets go to the benefit of our counterparty in the transaction. As a result, we expect the annual impact to investment income from the transaction to be a reduction of approximately $3 million to $5 million in 2013. That said, the capital freed up in the transaction can now, will now be deployed to higher margin opportunities. Our capital position ended the year approximately $1.9 billion, now that’s down from $2.1 billion at September 30, but again that’s reflects the balances ahead of the securities redemption. Book value per share as of 12/31 declined 1.1% from September, primarily, due to the lack earnings in the quarter and a reduction in unrealized gains. For the full year, book value per share increased 9.3%. At the end of 2012, we concluded a 10 year period of compounded book value per share growth of 10% per annum. In the quarter, we repurchased 211,000 shares for $7 million and return $3 million to shareholders in the form of common dividends. And for the full year 2012, we returned $56.8 million of capital to our shareholders through repurchase of $44.6 million or approximately $1.5 million shares and paying $12.3 million in common dividends. Since 2010, we’ve repurchased just over 20% of our shares outstanding, at prices that have been accretive to book value. We view this as a great investment. As always we will evaluate all alternatives to deploy our capital based on a risk-adjusted return. And we continue to buyback our shares as warranted by the availability of competing investments relative to the compelling valuation in our stock. Operator, that concludes our prepared remarks and we’re now ready to take questions.
Operator: Thank you. (Operator Instructions). Our first question comes from Emily Gadsden from Macquarie. Please go ahead.
Amit Kumar – Macquarie Research Equities: Hi, it’s actually Amit Kumar from Macquarie Capital. Just a few quick questions and I apologize, if I missed all of this in your opening remarks. I heard you giving some details on the Syndicate transaction. I presume you were talking about the NSTAR deal. Jay mentioned capital freed up in this deal. Can you just have a flesh out what that number might be?
Mark E. Watson: Sure, Amit. That is the transaction that we were referring to, depending on how you end up determining the capital provision at Lloyd’s and that generally is a conversation that goes on with Lloyd’s over the period of time, it could be anywhere from $25 million to $30 million. And that capital is freed up over a period of time, not on the date of the transaction. So, we look at this as a smart way to take capital and put it back into higher return opportunities in a way from simply supporting the reserves that set on the balance sheet.
Amit Kumar – Macquarie Research Equities: Got it. And I guess related to that is the discussion on capital management. And I think you mentioned looking at different opportunities. With the stock trading at where it is, I thought that would be an easy option. What sort of internal math do you use in terms of looking at capital management? Many companies use operating income equal to capital, equal to buyback plus dividends. How do you think about it for 2013? 
Jay S. Bullock: I guess what I would refer you to is my comments just a moment ago, we look at risk adjusted returns, we look at opportunities to build the franchise, we look at immediate returns on the stock and all of those could factor into our thinking and as Mark pointed out in his comments, we’ve got a lot of enthusiasm and excitement about the platform and opportunities to invest capital in the platform and we’ll continue to balance that. That’s sort of a non-answer. Mark, do you want to talk.
Mark E. Watson: Yeah, I mean. This is Mark Watson. Hey. I actually can think that if you look at our how we bought back stock over the last three years are actions for themselves, we’ve been very focused on doing that, we have been in the market most days buying the maximum amount that the rules allow, and I think we will continue buying back stock in the future are there other opportunities, yes there are and we’ve invested in them, but the majority of any excess capital that we believe we have has been focused on our shareholders. We've repatriated that through a continuous dividend each quarter as well as buying back stock. 
Amit Kumar – Macquarie Research Equities: Got it and that's actually helpful. The only other question is I think you mentioned growth in maybe International coming from new business in Brazil or something. If this is in opening comments, I can go back to the transcript. Can you tell us exactly what comprises that growth?
Mark E. Watson: Yeah, I was just marking our progress of our operation in Brazil, which happens to be contained within the International Specialty segment and again just noting that the majority of the premium growth in the International Specialty segment wasn’t been coming from Brazil with modest growth in our operations in Bermuda that was the excess casualty business, professional liability or Argo Re.
Amit Kumar – Macquarie Research Equities: Okay, that’s all I have for now. Thanks for all the answers.
Operator: (Operator Instructions). Our next question comes from Howard Flinker from Flinker & Company, please go ahead.
Howard Flinker – Flinker & Co.: Hello everybody. I wasn't clear. Were the losses in the International segment property somehow related to Sandy? Or were the other storms of some kinds?
Mark E. Watson: Yes, no, our property cat reinsurance business Argo Re, is contained within the International Specialty segment. So, the cat losses that Jay and I were referring to came from the reinsurance part of International Specialty.
Howard Flinker – Flinker & Co.: And I think you answered my second question from the previous guy. The growth in premiums written in International Specialty was chiefly Brazilian. Is that correct?
Mark E. Watson: That’s correct.
Howard Flinker – Flinker & Co.: But those were not related to the losses, I take it?
Mark E. Watson: That’s correct as well.
Howard Flinker – Flinker & Co.: Okay, that’s it, thanks.
Mark E. Watson: Thank you.
Operator: (Operator Instructions). Our next question comes from John Thomas from William Blair, please go ahead.
John Thomas – William Blair & Co. Inc.: Hi everyone, I was wondering. What do you think about the profitability outlook for the Lloyd's segment? A couple other insurers have reported strong results and I see that reserve development in that line has improved, compared to the past few years. So just curious on what business trends you're seeing from a loss and new business perspective?
Mark E. Watson: Well, actually our reserve development within the Syndicate was positive for the quarter.
John Thomas – William Blair & Co. Inc.: Yeah, I mean improved, compared to 2010 and 2011.
Mark E. Watson: Well, anything was an improvement, compared to 2011 and 2010, but I think if you look at the best way to look at and how our Syndicate is doing and then by I think this maybe true of Lloyd's as well, is just look through some of the cat activity to the underlying trends, and I think they’re very positive, proceeding with the cats, we still generated an underwriting profit for the year, and for the quarter. So I think everyone does have their own mix at Lloyd's, but when I look at our business mix, and I look at the changes that we’ve made to our various portfolios there in the Syndicate, I’m very optimistic about the future now, I think the biggest challenge for us is one-off scale, it’s become much more expensive to be at Lloyd’s now there is more and more regulation everyday particularly with the anticipated implementation of Solvency II, which I'm still not convinced will ever happen. But now it’s a game of scale to offset some of the expense of being a part of Lloyd’s and I think we are making progress in our expense ratio, it dropped about for the quarter and for the full year, we saw expense ratio dropped five points, I don’t think it will drop another five points next year, but I do think, we’ll see continued improvement in the expense ratio next year as we did this year.
John Thomas – William Blair & Co. Inc.: All right thanks and then just one more. If you can comment on the rate environment in Commercial Specialty where, you're getting most rate, and where you think potentially the most improvement will come over the next year?
Mark E. Watson: Yes, so, predictably, the most rate is coming from the most challenged accounts, the question is, whether are really getting enough rate. So I suspect that we will cut back on an exposure basis or a policy account basis. The portfolio another 10 plus maybe even 20% over the next year, I would also expect that we will get double-digit rate increases on many of the accounts that we keep. So I think when you take both of those in the consideration, we may only see the topline for those two businesses within Commercial Specialty drop call it 10% to 20%.
John Thomas – William Blair & Co. Inc.: Okay, thank you very much.
Operator: And we have no further questions at this time. I would now like to turn the call back over to Mark Watson for closing remarks.
Mark E. Watson: Thank you, I’d like to again express my appreciation for everyone being on the call today. I know that today’s has been a busy day with earnings calls. And I’d really like to thank everybody within the Group that’s work very hard over 2012 to produce, what I think is a pretty good result considering all those environmental factors that I mentioned earlier in our call. I think that we are well on the road to improving margin and return on capital over the next year. Our business plan is the same one we had for years, I think we’re executing it much better today than before, but we still have some work to do for 2013. And I look forward to talking to you all again later in the year. Thank you very much.